Operator: Thank you for standing by, and welcome to the Sims Limited FY '25 Results Call. [Operator Instructions] Today's presentation has been lodged with the ASX along with the results release. It may contain forward- looking statements, including statements about financial conditions, results of operation, earnings outlook and prospects for Sims Limited. These forward-looking statements are subject to assumptions and uncertainties. Actual results may differ materially from those experienced or implied by these forward-looking statements. Those risk factors can also be found on the company's website, www.simsltd.com. As a reminder, Sims Limited is domiciled in Australia and all references to currency are in Australian dollars unless otherwise noted. I would now like to hand the call over to Mr. Stephen Mikkelsen, Group CEO and Managing Director of Sims Limited.
Stephen John Mikkelsen: Thank you, and good morning from Sydney. Today, we are here to present our full year results for FY '25. Presenting with me today is Warrick Ranson, our CFO; John Glyde, our ANZ Managing Director, is also here with me and Warrick. Rob Thompson, our President of North America Metal is on the line from the U.S. The presentation has been lodged with the ASX, along with the results released. First up, I will provide an overview of the results and strategy. However, I will spend the majority of the time explaining how our business units are looking to navigate and grow in the markets in which we operate. Warrick will then take us through the financial results. At the end, I will return to talk about the outlook, after which we will have Q&A. I'll turn straight to Slide 5, which looks at our strategy and strategic priorities. This slide should look familiar. It has guided us for the last couple of years. Just to summarize the left side graphic, our purpose is to create a world without waste to preserve our planet and our business is to repurpose and recycle. We are very good at repurposing and recycling when we focus on customers, suppliers, being operationally efficient, innovative and agile when investing responsibly. What are our key strategic priorities right now and what has driven the turnaround in the business? We're simplifying Sims with delayered, widened spans of control and driven costs out. We're putting margin back in the business by buying more unprocessed tonnes closer to the source. We're putting more emphasis on cash generation, looking at inventory turns, getting DSO down and actively managing margin versus cash flow, particularly given some of the timing impacts we've experienced from changes we've made in our operating model, such as our increased level of domestic sales. We're recognizing regional opportunities better in maximizing profit across the portfolio, including SAR. These things are enabling us to grow from a position of strength by having an improved supply network and experience, enhancing customer relationships, creating genuine domestic versus export optionality and product differentiation. Turning to Slide 6, where we can see the actual benefits of executing on those key strategic priorities. In the Metal division, unprocessed scrap trading margin percentage and shredder utilization are all up. And you can see in SLS that the growth in repurposed units is driving increased revenue and EBIT margin percentage. Moving on to Slide 7, and I'm conscious that Warrick is going to take us through the financial results in some detail, so I'm only going to make a couple of high-level points. FY '25 has been the year that we started to deliver on the turnaround in the business, particularly NAM. It hasn't been a straight arrow month-over-month throughout the year, and we still have a lot of room for improvement. But in a year where market conditions were no better, but perhaps arguably worse than the prior year, we have delivered a near 50% increase in underlying EBITDA to $430 million and a near 200% increase in underlying EBIT to $174.9 million. This has been achieved despite a drop in sales volumes, proving the benefit of our change in strategy to prioritize margin. That statement is a slight simplification, but it does capture what we are striving to achieve. Turning to safety and employee engagement. Slide 8 shows that we continue to perform well when looking at our lag indicators. They are at historic lows and industry best practice. I will point out that during the year, as a management team and a Board, we focus heavily on lead indicators. I firmly believe that if you have the right lead indicators and structures in place to deliver on programs such as critical risk identification and mitigation supported with training, the lag indicators will reflect this effort. I'm also pleased to share that we've maintained a high employee engagement score achieved in FY '21. Importantly, we've sustained this level through a period of significant change in some of the most difficult market conditions we've faced in recent years. This consistency highlights the strength of Sims' culture and values. These are foundations that have not only supported our record safety results but also enabled the speed at which we've executed our strategy. The rest of my presentation looks at how our divisions are addressing the opportunities and challenges in their markets. Starting on Slide 9, I want to back up my previous comment that the market has not provided assistance in FY '25 compared to FY '24. And therefore, the significant turnaround has largely been self-help. The chart shows that export prices have drifted lower over the last 2 years and domestic U.S. prices have maybe had a bit more movement but ended largely flat. Despite this, you can see the significant lift in FY '25 EBIT compared to FY '24. I'll explain how this has been achieved, starting with NAM on Slide 10. NAM has spent FY '25 executing on its turnaround plan. We have been buying more unprocessed scrap to meet the increased shredder steel demand, driving up our shredder utilization and in turn we are capturing more zorba. We are focused on higher-margin purchasing discipline on raw materials where we can add value. This has impacted total ferrous volumes, but as I said, we have seen an increase in unprocessed intake volumes and nonferrous shipments. In addition, the team has done a great job in opening up more domestic channels, and we have benefited from the U.S. domestic premium. More domestic sales also allows us to buy and sell in the same market, reducing risk. Finally, cost scrutiny is relentless. All this has seen a reversal of the declining trading margin percentage as we get margin back into the business. What is NAM's pathway to growth? I cover this on Slide 11, and the short answer is it is a strong pathway. The market drivers are very supportive. Tariffs have insulated U.S.-based steel and aluminum producers. And as can be seen on the steel spreads chart, our domestic customers have been insulated from the wider impacts of oversupply of global steel. As previously mentioned, this has led to strong investment in additional EAF capacity and the resulting new ferrous raw material demand is growing rapidly off an already high base. NAM has adjusted its business model to buy more unprocessed scrap, process it internally and sell more optimally. This is driving a margin-first mindset. The Midwest Premium has risen sharply as a result of the growing demand for aluminum scrap in the U.S., and our Alumisource business is nicely positioned to capitalize on the strong market need for raw materials. NAM is now in a position to move forward with growth. We are actively pursuing land sales to fund internal growth CapEx and appropriate bolt-on acquisitions to strengthen our CDR network. Moving on from NAM and on to ANZ on Slide 12. The main theme for ANZ in FY '25 has been the resilience of the non-ferrous business. The flip side of that has been the weakness in ferrous, driven almost entirely by the overproduction and record exports of finished and semifinished steel products out of China. It is worth remembering that the domestic selling price for scrap in Australia largely reflects export parity, albeit regional demand and supply imbalances are playing an increasing role. A weak global ferrous scrap price feeds directly into a weak domestic scrap price. As I said, though, ANZ's large, growing and resilient nonferrous business has enabled it to weather the storm in FY '25. There are also a number of positive structural shifts on the horizon for which ANZ is preparing itself. Slide 13 looks at how ANZ is executing to take advantage of those structural shifts. Firstly, in our view, the insatiable appetite for nonferrous metals will continue for the foreseeable future. ANZ has a strong nonferrous business with our investment in balers, cable granulation, MRPs, beneficiation and fines plants to capture and capitalize on this demand. Governments across Australia and New Zealand are showing a real willingness to support sovereign steel manufacturing. Scrap metal is a key strategic input. Without it, there is not a cost-effective low emission solution. ANZ is nicely positioned. We are the only player with excellent positions in all the Australian and New Zealand markets, moving to scrap to meet regional supply and demand imbalances. Our capital growth is aligned with this. We see Pinkenba becoming a strategic logistics hub for managing scrap and meeting the needs of our customers. We have plenty of spare capacity in our shredding facilities and the capability to take on opportunistic acquisitions. Finally, turning to SLS on Slide 14. SLS has found itself in the middle of an extremely fast-growing market, driven either directly or indirectly by the demands of AI. As you can see on this slide, the compound growth in SLS volumes has been impressive, but nothing compared with the growth in data center capacity. The addressable market is huge. The growth in the market combined with the desire to control supply chains has seen a recent and rapid hike in the price of memory represented by DRAM or dynamic random access memory, and this is shown on the top right-hand chart. The heading on Slide 15 sums up SLS' opportunity, how to grow along with the hyperscalers. The market dynamics are clear. AI is fueling growth and memory everywhere. At the same time, there is a desire to achieve this with much less carbon and ensuring that the supply chain is derisked. SLS' style of repurposing satisfies these requirements. SLS has proven that it can efficiently repurpose data centers into either the resale market or we deploy memory back into new data centers, giving us access to the fastest-growing segments. This has allowed us to move up the value chain, and in some instances, integrate with the hyperscaler to provide a full redeployment service. SLS' challenge, and therefore, focus over the coming periods is to continue to scale up through a greater use of robotics and further system integration. I'll hand over to Warrick now for a more detailed look at the financials.
Warrick R. J. Ranson: Thanks, Stephen, and good morning, everyone. I think this year's scrap metal market can be best characterized as a complex interplay of both global and local factors with impacts varying across different metals and regions. The market for ferrous products continued trends evident in the second half of last financial year with global scrap markets continuing to face several significant headwinds, trade volatility and variable market dynamics. U.S. tariff concerns created an additional factor, and the lack of policy clarity impacted supply chains, creating significant negative sentiment in most markets and unevenness in purchasing activity. Despite this U.S. spreads have generally remained solid, even with the pickup from summer construction not being as expected. Pleasingly, most scrap metal operators maintained a level of rationality in a difficult market and our continued focus on regaining margin in North America enabled us to preserve our position in a difficult year, significantly improving underlying EBIT in that region. Prices in the Asia Pac region, however, remains subdued. On the plus side, contraction of China's crude steel output does appear to have commenced, albeit at marginal levels. And this has been principally driven by policy change as the government moves to better manage price competition and phase out outdated industry capacity. As Stephen mentioned, offsetting these headwinds, at least partially, has been the demand for nonferrous metals such as copper and aluminum as they continue to rise off the back of ongoing green energy and infrastructure projects. In fact, this year, nonferrous trading accounted for 34% of group revenue, 7 percentage points higher than last year. In parallel, significant growth in artificial intelligence and the accompanying development of major data centers continue to drive demand for processing capacity and SLS' activities. Tariff imposition, data protection and a shift in manufacturing preferences by key hyperscalers further uplifted repurposing and resale activities for memory modules, as Stephen mentioned, elevating pricing to new levels following unprecedented demand and contributing to another standout performance by that business. After normalizing for Baltimore and changes in cost classification and following further cost-out efforts, we saw our overall cost base remain relatively flat despite increases in labor costs and general inflation across the board. I'll come back and talk about our cost reduction activities shortly. Our statutory result was impacted by the decision to cease the development of the plasma gasification technology in Queensland, restructuring costs associated with our cost-out program and an accounting requirement to consider the potential for a credit loss on the balance of the U.K. metal receivable, given their request to defer that payment into the FY '26 year. Moving to underlying EBIT, and I've touched on the fundamental drivers of most of these already, so I won't dwell on this slide. Suffice to say though that the team in North America have done a fantastic job in turning around that business and driving the focus on getting margin to the bottom line. Our much improved underlying EBIT of $174.9 million is certainly now reflective of the strength of the geographic and portfolio diversification aspects of our business. I'll expand on some of the other factors driving these various movements in the following slides. Moving to the metal business more specifically, and our focus on sourcing more unprocessed material continued through the year as ongoing growth in EAFs further added to scrap demand in the U.S. Reliability of supply and scrap quality remain dominant for major steel producers with a particular focus on upgraded or low residual quality shred and NAM has been able to position itself as the supplier of choice to several producers. Expectations of high tariffs led to large-scale prebuys and boosted price hikes towards the end of the first half of the year with buyers taking advantage of pricing and purchasing large spot orders of metal in advance of any potential policy changes. Margins, however, continued to reflect strong execution discipline with focused efforts to match purchase pricing to market movements and further progress our margin recovery momentum. Severe weather on the East Coast across January and February translated into the lower result in the second half. Ongoing trade uncertainties and tariff developments has also meant that many participants remained on the sidelines given that market unpredictability. Despite these factors, NAM uplifted its underlying EBIT by some $93 million, and the team continues to focus on what it can control in an uncertain market. In ANZ, as I mentioned, ferrous margins were impacted by the subdued international market, which also flows on to domestic pricing. China continues at pace at or above decade high records of steel production and exports for most of the year, putting downward pressure on prices and global production and contributed to lower buy volumes. Despite the unfavorable economic environment, nonferrous sales increased during the year and supported absolute trading margin performance, providing some respite and reflecting our regional supply chain advantage. Importantly, the team's buy price discipline and continued focus on costs were also contributors to it achieving a solid underlying EBIT of $72 million for the year. Our Sims Adams joint venture experienced softer container and bulk markets in the first half of the year as strikes, hurricanes and logistic challenges kept overall inventory higher and reduced margins. However, a much improved second half regained trading margin performance and improved volumes as the business took advantage of the run-up in U.S. nonferrous prices and added a number of additional feeder yards into its network. Following a review of the Singapore hub, we reduced our operating cost base in global trade by nearly $8 million. We also picked up a brokerage benefit linked to the U.K. sale as we continue to trade nonferrous for that business until the end of June. Overall, underlying EBIT for the total metal business improved $104 million or just over 60% on the comparative period's result. Just quickly, I think it's worth highlighting the impact on our North American operations from that severe cold weather belt we experienced in January and February this year. Those subzero temperatures in the Midwest through to the East Coast significantly reduced our intake levels across those months. And whilst we saw a recovery in March, we weren't able to catch up on the lost volume. Moving to Slide 21 and SLS now, and the business has continued its strong year-on-year performance progression. With significant growth in the number of repurposed units we are now managing, SLS has been able to reflect the scalability of its operating model, its asset-light growth and the benefit to margin from this. Stephen has already touched on the key drivers of the market in which it operates, and I'm sure we're all experiencing that impact ourselves. Dwell on the result other than to note this business today sits at around 20% of our underlying EBIT, perhaps supporting a greater recognition of its attributable value within the company's total portfolio. Touching briefly then on central function and corporate costs. Again, some great work here across the business on cost-out efforts with labor reductions and lower consultant expenditure. Development of new yard management software continued through the year, and we hope to see the first installation of that at our pilot sites in early calendar '26. And as previously announced, in January, we elected to cease work on the development and commercialization of the plasma-assisted gasification technology being undertaken by Sims Resource Renewal. This has resulted in us booking closure-related and noncash write-down costs totaling $25 million as a significant item, but will reduce future corporate and central level costs going forward by some $10 million to $12 million per year over the prior year. So that takes us to our cost performance for the year, and we continue to look for opportunities to simplify and delayer the organization as well as further rationalize the existing operating portfolio. We set ourselves an implementation target of circa $40 million in the current financial year, noting again that capturing the full benefit remains dependent on the timing of changes and restructuring activities. Pleasingly, at a group level, we managed to keep total costs relatively flat over the period through these cumulative efforts and what you see here on the cost waterfall slide is the flow-through benefit of the full program in the year. You can also see the impact of the annual uplift in people costs again even with those further rounds of restructuring completed. Total labor costs comprise around half of our total cash cost base and ongoing labor rationalization efforts have enabled us to deliver cost savings this year of $35 million through both permanent and contract labor changes. We were also able to offset broader inflationary pressures with general OpEx savings that incurred higher project costs associated with the new yard system as well as higher depreciation charges from prior year activities. Moving to Slide 24, and whilst we are now plateauing somewhat on our operating cost initiatives, we continue to chase cost out opportunities where we can. As I mentioned, the decision to cease development of the Sims Resource Renewal plasma gas technology will reduce expenditure by a further $6 million on this year and we have recently commenced the transition of a number of our central transactional activities to an offshore capability center, with the objective of taking a further $5 million to $6 million per year out of our central cost pool once it is up and running. As expected, capital expenditure was higher in the second half. A number of strategic investments were made in NAM, where we enhanced our metal and waste recovery through multiple shredder downstream investments and separation technologies, most notably in the Mid-Atlantic region. We invested further in the expansion of our national railcar fleet and barge vessel loading capabilities and also supported logistical capabilities through investments in additional trucking and rail infrastructure. In ANZ, sustaining capital was broadly in line with the prior year with major works covering redevelopment of our Newcastle site and an equipment overhaul at St Marys. Work commenced on redevelopment of the Pinkenba site with initial activities focused on site infrastructure and the wharf. We expect to spend around $30 million there in FY '26 on both infrastructure and the establishment of a new fines plant investing through the cycle to ensure we remain well positioned going forward. Total group depreciation, inclusive of leases, is expected to be broadly consistent with the current year. On to the balance sheet, and the group completed the year with net assets of just around $2.6 billion at balance date. Noting that comparative numbers separate the U.K. metal business, working capital increased period-on-period by circa $110 million, $60 million of which was because of late June bulk sales, which we collected in early July, and a change in payment terms with our SAR joint venture to rebalance our interco terms contributing to an $80 million impact. Lifting our level of domestic sales also increased our receivable balances by some $45 million as domestic credit terms generally range from 30 to 60 days versus our shorter-term export arrangements. We placed additional focus on our working capital management as a result of those slow-on impacts. However, it did result in an increase in our net debt position to $332 million at the end of the year, together with an elevated gearing and leverage metrics outside of our preferred range. Pleasingly, in line with our revised capital management framework, the Board determined a final dividend of $0.13 per share fully franked and taking our full year dividend to $0.23 per share. While this is at the top end of our suggested range, the Board felt it appropriate to reflect the cash returns from the U.K. sales activities in the total dividend for the year. So all that summarizes into our overall cash movement for the year. I've talked about most of these already, but just to touch on a couple of other key drivers, noting this waterfall is from our December balance where you can see that impact from those working capital changes at year-end. Following discussions with Unimetals Recycling, the acquirer of our previous U.K. metal business, we agreed to defer the final payment of their principal from its original June payment into FY '26 to enable the business to undertake a full refinancing of its funding arrangements. The European business has been particularly difficult this year as Turkish mills continue to contend with weak finished steel sales and downward pressure on prices linked to tariffs. Conversion costs have also increased significantly there in the face of rising electricity charges and DC scrap buying has remained subdued as a result. While we were required to take a noncash credit allowance on the outstanding balance for accounting purposes, we continue to work proactively with the company as it works to extinguish the residual capital payment. And just to note that the full year net operating cash result of $297 million includes a $66 million residual tax payment which related to a capital gain on the sale of the LMS business in the prior year, so somewhat understating a much improved year-on-year operating cash flow performance. Back to you, Stephen.
Stephen John Mikkelsen: Thanks, Warrick. I'll turn to the outlook on Slide 29. The first point I will make is that the long-term fundamentals of our business remains strong. Regional EAF capacity is growing in the U.S.A., Australia and New Zealand. Nonferrous demand continues to rise across the globe, and AI is driving an exponential increase in demand. But what could all of this mean for FY '26? We had a good year in nonferrous in FY '25. And quite simply, we expect this to continue in FY '26. The tariffs are protecting U.S. steel and aluminum industries and therefore, domestic demand for scrap. This has resulted in premiums often emerging for domestic scrap sales in the U.S. We see this continuing in FY '26. In our view, production changes will take time to play out, and China will continue to dampen steel prices and therefore, ferrous scrap prices outside the U.S. Countries are starting to show some objections to this, and you are seeing the shoring up of domestic steel industries with potential protection, but this will take a while. For FY '26, we see ANZ ferrous margins remaining under pressure. We see no slowdown in the demand from memory driven by AI. SLS should continue to benefit from this in FY '26. Finally, thanks again to the whole Sims team. You have delivered an FY '25 result which shows that your hard work around implementing our strategy is showing rewards. Thank you for doing all of that in a safe way. Back to you, operator.
Operator: [Operator Instructions] Your first question today comes from Owen Birrell from RBC.
Owen Birrell: I just want to -- just draw a question from Slide 34 of your pack where you show the destination volumes. And in particular, I'm just looking at NAM and SAR where you can see the export component shrinking from '24 to '25. And clearly, this is based on your swing strategy and better margins in that U.S. domestic market. But I guess my question comes down to the seaborne side of things and what's happening with respect to not only just the demand there, but your market share of that demand. And I'm just wondering how much of that is just really weak demand? Or are you actually foregoing customers because they're not willing to pay the margin or the price that you need to swing that volume into that direction?
Stephen John Mikkelsen: Yes. Thanks, Owen. I'll let -- we've got Rob on the line, which is good. So I'll let Rob maybe answer that question in a little bit more detail. I'll give my sort of my overview, I think it's also the type of scrap that's being exported as well where -- and domestically, we're seeing much more shred versus more HMS internationally, particularly through to Turkey. But -- that would be my overall comment, and there is deliberate aspects to it. But maybe, Rob, you're best positioned to provide a bit more color around that.
Robert Thompson: Yes. I think largely the same, Stephen, what you just -- what you said is fairly accurate. I think the way to think about this is we are optimizing the cargo on the ship. So where we used to have a lot of a larger percentage of shredded steel on the ship, we're now minimizing that depending on the market price and the value of those individual commodities, factoring in the storage, the U.S. market, in particular, for SA and for NAM, the flat-rolled steel producers are demanding and are willing to pay a premium for that product. In terms of market share, so I didn't answer that question. We're fairly stable. We actually track that. And in terms of market share on the North American export percentage, we haven't moved very far off from previous years.
Owen Birrell: I guess my question is very much that if we do see a recovery in international markets, obviously, pretty tough at the moment, whether you're going to be able to swing back into those international markets. So it sounds like your relationships with the customers are still relatively strong, and it's just really the market being weak more than anything.
Stephen John Mikkelsen: Owen, I think that's a very good summary of it. That's exactly right. Same for ANZ.
Operator: Your next question comes from [indiscernible] from Macquarie.
Unidentified Analyst: Stephen, could we just discuss your nonferrous contribution to the group. You've given it for ANZ and at a group level. But just curious to see where that sits in the U.S. businesses and how you sort of see that track across your segment into the future.
Stephen John Mikkelsen: Yes. My overall comment on that, and then I'm happy to let John and Rob to comment with a bit more detail. My overall comment is that non-ferrous was very significant to the U.S. as well, both in NAM and SA Recycling. It really was the story of FY '25 is the very robust demand and pricing of nonferrous and the fact that we could meet and deliver on that. But maybe, John, do you want to add a little bit more flavor on ANZ and then Rob, some flavor from you end around NAM, and whatever Rob says NAM you could say is the same answer for SA Recycling.
John Glyde: Nonferrous certainly gave us some resilience on our ANZ results, given the weak ferrous environment that we trade in. So nonferrous, I think, represented something like 50-odd percent of our total revenue if we include NFSR which demonstrates the value that we have in copper and aluminum and certainly investments that we've made in things like cable granulation, bailers, MRPs and fines plants. So nonferrous really was the story of the second half and the strength of it.
Stephen John Mikkelsen: Rob, you go ahead.
Robert Thompson: I was just going to say not a lot to add to John's. Very similar here. Second half was solid demand as it was all year, but in particular, the second half. Warrick touched on it in his comments. There was some speculatory trading going on in the U.S. ahead of tariffs that didn't actually come to fruition. And then it's in line with our strategy. The nonferrous fraction that we collect with our technology at our shredders has been a priority for us for the last several years and it paid off with the solid demand that we saw in '25.
Stephen John Mikkelsen: I'd also -- I think it's probably worth adding as well that while nonferrous and NAM has done very well, it was also did well in FY '24 and that NAM's improvement in FY '25 was driven by ferrous about the margins that we got back into the business, the more unprocessed material we were buying, the fact that we were shredding that and producing zorba, that is what drove the big increase in NAM's turnaround in FY '25 on the back of the strong nonferrous contribution that we've had for the last couple of years in ANZ and NAM.
Unidentified Analyst: Perfect. That's good color. And just a follow on a little bit from Owen's question. It was obviously a big swing to U.S. domestic market. Given the pricing, that makes a lot of sense. Could you just touch on this a little bit further? Is there more gains to be made there to shift that mix further to domestic should the pricing differential be this much?
Stephen John Mikkelsen: I think the short answer to that question is yes. But what I would say is we -- yes, we've had some good swings to the domestic market because that was the best place for us to be selling, particularly shred. And I do think we need to start to understand that there is -- it's different types of metal grades and different HMS that is shred, which is playing a part in this. We've keep that optionality, but we're growing the optionality as well. So there is more opportunities. We've been investing money in rail sidings. We're investing more money in rail stock so that we can send more domestically and also in barging. So if the domestic market continues to have -- if the premium continues to grow, we absolutely have the ability to send more domestically.
Operator: Your next question comes from Dylan Adrian from JPMorgan.
Dylan Adrian: Just a quick one. You've had a strong second half despite 3Q or the start of the year impacted by some pretty tough conditions and some weather disruptions that you called out. So would annualizing the second half be a sensible start in thinking about FY '26? I'm just trying to build a bridge into FY '26.
Stephen John Mikkelsen: That's a tough question, and I might let Warrick answer that one. Yes, I'll let -- Warrick, give you your thoughts on that because we've obviously been thinking a bit about this.
Warrick R. J. Ranson: I mean, yes. I mean, the overlay is obviously the continuing economic environment. But we certainly see a positive second quarter in terms of the activity in the U.S. in particular. Maybe Rob is a little bit better position to sort of talk about the actual market itself. Yes, it's always difficult to say, should I use it as an annualized base because there's so many drivers that come into that. So whilst weather impact us certainly in that third quarter for us, there's other aspects that remain variable for performance. But I think it's not a bad starting point, really.
Robert Thompson: I'd add to that. I mean I agree with that. All things being equal, if weather normalizes, because we can't control weather. In the market conditions where they are, you would expect us to be trading in a similar manner. I don't think that's controversial. What I would say, though, is that we haven't finished our self-help. So there are more initiatives that we're putting in place. We are getting more metal out of waste. We are doing more around copper granulation and fines recovery. So there is more self-help that we're doing. So we're not sitting back and saying, "Well, this is the market, let's perform the same in that market." We're still putting in place initiatives to grow, to get more margin back into the business to optimize our domestic versus export. And we didn't execute perfectly in FY '25. We didn't execute perfectly. So there's room for us to do more in FY '26.
Operator: Your next question comes from Scott Ryall from Rimor Equity Research.
Scott Ryall: I have a couple of questions. Just I might refer to two slides. Firstly, Slide 11, where you talked about the NAM -- potential for NAM acquisitions now that you're -- and I don't want to put words in your mouth, but you seem more confident with the position of the business and some of the self-help you've done. I'm just wondering, how do you see the market in terms of you've built a bit more resilience into your business, but do you think your scale helps? And so with the acquisitions that you're looking at, are you thinking that there'll be opportunities to purchase smaller businesses who are perhaps struggling because they don't have the scale and the advantages that come with that?
Stephen John Mikkelsen: The short answer to that, Scott, is yes. I mean that's the -- that would be the sweet spot. And we've got a number -- it's fair to say we've got a number of irons in the fire. It takes two, though, takes a willing buyer and willing seller. And I would say that overall, the metal recycling industry is made up of pretty resilient characters that go through a lot. But I think there's a lot of coming together now, which is really driving the consolidation of the industry. It's everything from market conditions are tough, and they've been tough for a while now. You've got stronger environmental regulations, like you just can't set up a scrap yard anywhere. There's all the stuff around social license to operate. So those are barriers to entry. I think the demographics of the industry is you've got a number of -- frankly, you've got a number of grandparents who have set up very good businesses, probably left school when they were 14 or 15 have set up a very good business. They're now in the 70s, maybe the next generation isn't overly interested in taking it over. So you've got that sort of dynamic as well. I think those things are driving it, but we'll be -- what I would say overall is, we'll be sensible. We're very conscious that we have to deploy our capital that adds value. So it's not going to be, I'll use this free-fall, I don't even know why I'm using that expression, it's going to be a very disciplined surgical understanding of which feeder yard groupings suit our shredder capacity and it would allow us to really take on more unprocessed material and not having to spend any more money on shredders. I think the whole situation is coming together.
Scott Ryall: Yes. Okay. Good. And then the next question is on your CapEx slide on Slide 25. And it's a great chart because it shows sustaining CapEx being higher than at any point in the last 6 years versus some of the growth CapEx, which is a lot lower. Now I don't want to quibble over the definitions of each one, but we've all seen growth and sustaining in many, many companies switch between the two. So I guess what I'm wondering is sustaining CapEx higher than now over the last 6 years because you did have what looks like a CapEx holiday in '21, '22, and so there's a bit of a catch-up? And do you have a level where you look at sustaining CapEx as kind of through the cycle or a normalized number that we should be thinking about into the medium and long term?
Warrick R. J. Ranson: Yes. It's Warrick here, Scott. Yes, there has been a catch-up. So certainly, through the COVID period, et cetera, it was certainly a reduced capacity to spend. There's nothing sort of -- we're certainly conscious of not having CapEx or maintenance debt in terms of our business. So -- but certainly, this year, we did use it as an opportunity to bring some of that deferred capital into the program, and that's what we've done. We'll actually sort of see -- now as we say in that slide, we'll see some reversion of that back down. But obviously, we're also spending. You'll see an increase in our growth capital in FY '26 as we sort of move into Pinkenba, et cetera. So for us, we sort of -- we still reference our depreciation level as sort of a reasonable sort of, I'm going to say, not ceiling, but sort of target to where we would sort of sit with our overall capital. Certainly, for us, that growth capital, that's excluding sort of acquisition type capital, but growth capital around additional volume opportunities is important. And as I said, in my narrative, I think it's -- one of the reflections for us is that we're still investing through the cycle. So whilst it's been a tough year in terms of the market, and we've done quite well in terms of our operating performance in that context. We haven't sort of held back on our capital at the same time because we don't want to -- certainly, don't want to end up in a position where the market turns -- moves forward in a positive sense, and we're not ready for it.
Scott Ryall: Yes. Understood. So just in terms of looking forward beyond '26, is it fair just to think about that sort of $120 million, $140 million range that you've given as where you might think about sustaining CapEx in the medium term?
Warrick R. J. Ranson: Yes, I think that's a fair assumption.
Scott Ryall: Okay. Great. And if I can just be a bit cheeky and sneak in a third one. I wanted to ask about your offtake nonbinding MOU, sorry, with Alter Steel. And I guess I see it as a bit different than New Zealand where you actually had BlueScope as a counterparty with a current plan to, let's say, go to EAS. What's the status of this project? And I guess, how do you think about -- I'm assuming you're doing pricing in a similar manner relative to the traded benchmark like New Zealand. But how do you ensure you retain flexibility if the project doesn't proceed?
Stephen John Mikkelsen: I'll let John answer that one because John is really driving that project from Sim's perspective.
John Glyde: Thank you. The timing of the project is -- obviously, we're in an MOU stage, so we're yet to negotiate a binding agreement. The FID decision is sometime in the next 6 to 12 months with a planned construction and commissioning date of about July '28. Westview or Equest Steel, Alter Steel are certainly more progressed than any of the three other EAFs that we've also been talking with, by the way, two others in Queensland and one in Western Australia. They're certainly more progressed in a development application perspective. They're more developed in terms of their business case, their offtake agreements and all those sorts of things. But you're quite right. Pinkenba, it's proximity to the proposed Alter Steel site serves us well to service their needs. It's about a kilometer up the road. But if that mill didn't progress, it doesn't change the dynamics that Pinkenba can provide a logistics hub to support the needs of others, whether that be the other domestic consumers or other export consumers. Pinkenba really is a first-class facility that has deepwater access, it has short sea access, it has rail infrastructure and road infrastructure. So developing it into a logistics hub will service the needs of, quite frankly, Westview or potentially if that doesn't get up, any of the other domestic consumers or export markets.
Stephen John Mikkelsen: I think that's a really good point, John. And just to emphasize that, we did not purchase Pinkenba and get Board approval to commence sort of building out Pinkenba on the -- ever on the assumption that there would be a domestic EAF just down the road. To me, that's fantastic, but it was never ever part of the core approval of that project.
Warrick R. J. Ranson: In terms of your question around pricing, as you pointed out or Stephen highlighted before around export parity pricing. Our discussions with Westview have been pretty frank in that when we see periods of regional deficits, pricing will need to move somewhere between export parity and import parity. So the other benefit that Pinkenba brings is we need to bring in scrap from other jurisdictions, whether it be the West Coast of North America or potentially out of South Island, New Zealand to support the needs of that mill or other mills in Australia, there is always that import opportunity, too. So the pricing will sit somewhere between export parity and import parity in my view.
Operator: [Operator Instructions] Your next question comes from Kai Erman from Jefferies.
Kai Erman: Just one on North American trading margins. Obviously, the first half '25's trading margin print was quite strong. It seems like the trend into second half was a little bit weaker. So just kind of keen to unpack why that may be and also what the trend looks like for the first half '26.
Stephen John Mikkelsen: Just checking that's trading margin percentage?
Kai Erman: Yes.
Stephen John Mikkelsen: Yes, yes. So there's a little bit of mix goes on in there, and Rob, I'll hand over to you. Just at a very high level, there's a little bit of mix goes on in there. So non-ferrous did feature more strongly in the second half relative to the first half. And so therefore, nonferrous trading margin percentages by definition are lower. On a $10,000 copper price, you don't get 20% margins. And so that mix does move it around. So I wouldn't read too much into it. When I look at the margin percentages that we're getting on our ferrous, they are just as good in the second half as they're in the first half, and we would expect that to continue. So it's more mix. But Rob, anything else you'd like to add to that?
Robert Thompson: No. I think, Stephen, you covered it well. I think the only other thing I could add is when the price did correct internationally and domestically in the ferrous market, we did get caught with a bit of a COGS impact. So cost of goods sold inventory effects. So other than that, margins remain a priority and focus for us.
Stephen John Mikkelsen: Yes. And I think we would see them -- we focus heavily on it, I can promise you that, in our meetings we have regularly going through the market. I'm still seeing that the ferrous margin percentage is looking as good as it was.
Kai Erman: Okay. That makes a lot of sense. And then just a follow-up, if I may. Just one on the cash flow. Obviously, a lot of moving pieces in this half as you guys called out, but I would be keen to sort of hear your thoughts on how you think that might trend into first half from cash conversion or in gross dollar terms perspective, just for operating cash flow?
Warrick R. J. Ranson: It's Warrick again. Certainly, there's a few things that will come into our cash flow in the second half of the year. the recovery of the U.K. metal receivable, as I said, we're working with our U.K. metal around that, and we certainly see that coming through. I think in terms of more broadly, the operating cash flow, like we do have fluctuations in our inventory levels, but we're placing greater emphasis these days on our working capital balance and trying to smooth that out in terms of some of the volatility that we normally see around the reporting periods, et cetera. So look, I'd say there's certainly -- we're certainly working to bring that down. We're not comfortable with the level of gearing, et cetera, that we're currently sitting at and really converting that operating performance into bottom line cash.
Operator: Your next question comes from Nikolai Dale from Barrenjoey.
Nikolai Dale: Maybe just following up on that last question on working capital. I mean, how should we think about the movements in FY '26? And should we still expect sort of an outflow there, given you've got that $60 million benefit in July? And then as well, more broadly, if you could comment on what you think the sort of mid-cycle level of working capital to sales is for this business?
Stephen John Mikkelsen: Yes, I'd say certainly from a payables and inventory perspective, you could use those amounts going forward. We certainly wouldn't want to sort of see too many dramatic changes there. I think certainly, the receivables, trade receivables amount, it did come down early in July with the recovery of those late sales coming through. So we would certainly see a reduction in our receivables. So there's a little bit of a swing there. I mean our objective is to -- as I said, is to try and smooth out the inventory fluctuations that we have because really, I suppose, to provide a little bit more consistency to the business in terms of our month-on-month trading positions. So going forward, certainly, I think inventory levels, those levels and a reduction -- with the reduction in our trade receivables balance is something that you should think about in terms of going forward.
Nikolai Dale: Okay. And then just a second question on land sales. Are there any sort of surplus land sale benefits that we should be thinking about over the next 6 to 12 months?
Warrick R. J. Ranson: Yes, we are actively working on a small number at this stage of land sales. So we've quoted sort of USD 100 million to USD 150 million. And yes, they are U.S., they are based in North America. We certainly see opportunities to recycle those -- that capital back into the business. Look, that's not to say -- we know we have a large portfolio of land. We're continuing to look at opportunities around other disposals, but they need to -- we need to do them right. I think we've seen some benefits recently across the industry where making sure you've got the right buyer, that you've got the right price on those is the way to capitalize on those. So it's not like a fire sale. It's something that we have to continually progress. But part of the rationalization work that's going on in the business and supporting our acquisition of further yards, improving our shredder capacity, et cetera, that's -- it's a combined effort across that.
Stephen John Mikkelsen: I think the other thing I'd add is that the land that we're looking at selling here, we wouldn't see a reduction in EBIT as a result. It's not -- these are -- these will end up lands surplus to our requirements that are currently not producing EBIT.
Nikolai Dale: Yes, that makes sense. And so it that supposed to drop in the first half '26 or the second half '26 at this stage?
Stephen John Mikkelsen: I think -- sorry, it's a bit hard to give the timing of the sales. I would -- I mean we're going to -- because we're not -- I mean, we're not in a desperate situation, I think Warrick is dead right, you're looking for the right buyer, you can actually realize quite a lot more. But my intention over the next 12 months, I think maybe we can get somewhere in the first 6, but I would think it's more -- we can just do it sensibly and have it done in the next 12 months.
Operator: Your next question is a follow-up from Owen Birrell from RBC.
Owen Birrell: Yes. Just a quick follow-up, if I may, just on Global Trading. Am I correct in saying that that's turned to profit in the second half? And if so, were there any sort of one-offs in there? And how should we think about that business from an earnings perspective going forward?
Warrick R. J. Ranson: Yes, Warrick, again, Owen. Certainly, a lot of work done from the team in terms of cost out. So we took about $8 million out of that. Look, we do fluctuate a little bit in terms of our FX position and the cash that run through that trading business. So it's a little bit variable. But we did also pick up a benefit this year from the U.K. metal activity. So we were continuing to handle their non-ferrous trading through that. That gave us a benefit in there. There's -- we're not sure that, that arrangement will continue just given -- I think it was part of a transition arrangement to make sure that the business will set up under its new owners, they're still working through whether or not they want us to do it or whether they'll go independently on that. So we probably pulled back a little bit in terms of expectations. But certainly, if we get more brokerage through there, then there's definitely opportunity. But we have, as I said, taken $8 million out of that cost base.
Owen Birrell: And should we think about that as more of a breakeven sort of argument going forward? Or is -- are we sort of still running...
Stephen John Mikkelsen: I'd say it's still a small operating loss just in terms of what we've got there. But again, it's a central functional center. So the benefits are really flowing back through the business in terms of not just our business, but we also do brokerage for SAR. So there's a huge benefit that comes from that. And having a single voice to the customer, et cetera, is really important right across that, it means we can manage our exposures and pricing discussions, et cetera. So a really important function for us.
Operator: There are no further questions at this time. I'll now hand back to Mr. Mikkelsen for any closing remarks.
Stephen John Mikkelsen: Thank you, everybody, and I'll see you over the next couple of days as we get out and about in Sydney and Melbourne. Thanks very much.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.